Operator: Welcome to the Seaspan Corporation Conference Call to Discuss the Financial Results for the Quarter Ended March 31, 2013. Hosting the call today is Gerry Wang, Chief Executive Officer, Co-Chairman and Co-Founder of Seaspan Corporation; and Sai Chu, Chief Financial Officer of Seaspan Corporation. Mr. Wang and Mr. Chu will be making some introductory comments and then we will open up the call for questions. I will now turn the call over to Sai Chu.
Sai W. Chu: Good morning, everyone, and thank you for joining us today. Before we begin, please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from results projected by those forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the first quarter 2013 earnings release and earnings webcast presentation slides available on our website at www.seaspancorp.com as well as in our Annual Report on Form 20-F for the year ended December 31, 2010 filed with the SEC. I would also like to remind you that during this call, we will discuss certain non-GAAP financial measures including adjusted EBITDA, cash available for distribution to common shareholders, normalized net earnings and normalized converted earnings per share. Regards to such financial measures and for reconciliation of such measures to the most widely comparable U.S. GAAP measures, please refer to our earnings release. I will now pass the call over to Gerry, who will discuss our first quarter highlights as well as some more recent developments.
Gerry Wang: Thank you, Sai. Please turn to slide three of the webcast presentation. For the first quarter, we continue to execute our strategy and deliver solid results. Our revenue and cash flows from operations continue to grow. We’ve further differentiated the company by successfully accessing attractive pricing to support our growth strategy. We announced our fourth dividend increase since March 2010. We continue to grow our fleet and diversify our customer base. And finally, we maintain a strong balance sheet and flexible capital structure, which position Seaspan to capitalize on future growth opportunities. I will now review our results for the first quarter in more details. First, revenue and adjusted EBITDA grew by 7.5% and 4.7% respectively for the quarter compared to the same period in 2012. Seaspan 69 vessel operating fleet continued to perform well operationally during the quarter. Seasonality contributed to off-hire for four 4250 TEU vessels on short-term time charters, which affected our financial results and broaden our utilization for the quarter to 96.1%. As we speak, all of these vessels are now employed on time charters. Second, based on Seaspan’s financial strength, strong contracted revenue stream and our confidence in the future, our Board approved a 25% increase in our quarterly common share dividend to $0.3125 per share for the first quarter of 2013 representing an expected annual dividend of a $1.25 per share for the four quarters ending December 31, 2013. We’ll remain committed to growing our common share dividends in a sustainable manner, but manages to our financial strength and our ability to expand our fleet. Third, in January, we announced two transactions with Yang Ming Lines and MOL. We believe that the two deals, which will enable Seaspan to grow its fleet, managed fleet to 89 vessels, validate the benefits of our innovative SAVER design and the need for state-of-the-art efficient vessels. The deals demonstrated the importance of Seaspan’s operational and technical strength as the key effective factors in the competitive process we need new business with major line operators who have high demand for operational performance excellence. In January, we signed newbuilding contract with Hyundai Heavy Industries for the construction of five 14,000 TEU class containerships for 2015 delivery. At the same time, we entered into long-term fixed-rate time charters with Yang Ming Lines of Taiwan at market rates. Subsequently, we signed newbuilding contracts with (inaudible) for the construction of four 10,000 TEU class containerships for 2014 delivery and entered into long-term fixed-rate charters with MOL at market rates. We recently completed the financing for two of our Yang Ming 14,000 TEU new building vessels with an Asian bank and have progressed the documentation for financing of the first 14,000 TEU vessels with a European bank. In addition, we have received various financing proposals for the remaining vessels, and we expect to close them within the next three months or so. Worth mentioning here, this financing transaction demonstrates our ability to access financing at attractive returns in the market that remains challenging to many of our competitors. As part of our stated strategy, we have been actively pursuing growth opportunities, we will report the transactions as soon as they are closed. I would like now to turn the call over to Sai to discuss our quarterly financial results. Sai, please?
Sai W. Chu: Thanks, Gerry. Please turn to slide 4, for a summary of our results for Q1 compared to 2012. Revenue increased by 7.5%, primarily due to the increased number of operating days and a higher time charter rates attributed to the delivery of our 13 houses in the first half of 2012. Vessel utilization was 96.1% compared to 99.1%, reflecting 221 days off charter for the Madinah, (inaudible) Seaspan Felixstowe and Seaspan Ningbo. Excluding the impact of the off charter days, vessel utilization would have been 99.9%, each of the four vessels is currently on short-term time charter now. Ship operating expenses increased by $3 million or 8.7%. The increase is due to 320 more op ownership days in the quarter for the addition of the 13,000 during the first half of 2012. In addition, the larger vessels have higher daily operating expenses for lubes, insurance and other operating costs, compared to smaller vessels. For Q1, G&A totaled $7.8 million; an increase of $1.9 million. As discussed in the previous quarter, the increase in our G&A is primarily due to the non-cash Stock Appreciation Rights granted to our CEO. In terms of operating lease expenses, in June of 2012, we completed our sale-leaseback for the Madinah for a nine-year term, previously Seaspan owned the vessels and financed with $53 million term loan, which we repaid during the sale-leaseback proceeds. We have been reflecting the leaseback of this vessel as an operating lease expense since Q3 of last year. For Q1, we incurred operating lease expense of $1.1 million, compared to last year when we incurred a similar amount of interest expense and appreciation. For Q1, our adjusted EBITDA and the cash available for distribution increased by 5% and 2% respectively, primarily due to the increased ownership days and higher contribution margin of our 13,000. Normalized EPS for Q1 was $0.21 per share, compared to $0.30 per share for 2012. The cash flow contribution of the larger newbuild vessels was offset by higher interest expense associated with our increased operating debt and other financing costs, lower utilization and lower charter rates on our four 4250 applied in the short-term market., and by other factors including carrying charges for growth capital, which accounted for $0.02 per day period. Increases to our share account through $0.01 and the issuance of non-cash stock appreciation rights, which was $0.025. Our board declared a $0.3125 Q1 dividend, which represents a 25% increase from the fourth dividend increase since March of 2010. This is a very sustainable dividend level, which balances returns to shareholders, while maintaining financial flexibility throughout – opportunistically invest to take advantage of the current rebuild ordering environment. Our board also declared and paid quarterly dividend for the three months ended January 29, a 9.5% Series D preferred shares, and for the period December 13, 2012 to January 29, 2013 on our 7.95% Series D preferred shares. Please turn to slide 5 for our balance sheet information. As of March 31, 2013, and December 31, 2012, we continue to review our strong balance sheet and financial flexibility as a key competitive advantage in the current market environment. We had cash and cash equivalents of about $350 million. The cash used over the quarter was primarily due investing activities, initial CapEx installments on our recently building vessels orders relative to financing expenditures net of operating cash flows. On the capital structure side, our table of operating cash flows combined with our strong liquidity and access to capital markets continue to serve as the core differentiators for Seaspan. Specifically, we believe these strength provide us the continued ability over the long-term to support increase in common dividend, opportunistically repurchasing additional shares, paying down and refinancing debt, and pursuing growth in a balanced and controlled manner In December, we’ve raised $75 million in Series D preferred shares yielding 7.95%. Just another groundbreaking transaction for Seaspan representing the first two perpetual preferred security issued in the shipping industry. In January, we entered into a term loan facility with a leading Asian bank for up to $340 million to be used for growth and refinancing of existing vessels. We also entered into a $174 million term loan facility with the leading Asian bank to finance the construction of two of the 14000 TEU to be chartered to Yang Ming. We are also progressing through financing documentation for the third Yang Ming vessel and two 2003 4600 TEU containerships to be chartered to MOL. We are currently evaluating term sheet to fund our remainder of our recently announced deals for both 140 million of new debt financing and know that there are continuously very healthy interest from financing sources to fund these transactions. We will fund the remainder of our new builder program, our interactive churns and continue to access financing for future growth opportunities. We are fortunate to have an access to multiple sources of capital, and we appreciate the continued support of our existing bank group as we consider both refinancing and new vessel acquisition. As we’ve done in the past, we intend to be opportunistic to access in the capital markets as we seek to diversify our capital structure to develop capacity for growth and manage our refinancing needs well in [invest]. Please refer to slide six for a latest forward guidance. The 2013, we will benefit from a full-year revenue on the four 13000 deliveries from 2012 and take delivery of two 4600 second hand vessels that are chartered to MOL commencing in Q2. We will also begin to earn tough management fees on a two 4600 second hand vessels to be acquired by GCI. Partially offsetting these increases to revenue would be easy to recharter up to six 4250 vessels at current short-term market rates throughout the year. In March, stock appreciation rights were granted to certain numbers of management. Together with the December 2012 stock appreciation rights granted to the CEO, we expect to recognize non-cash compensation expense of approximately $9.2 million for the remainder of 2013 and $4.2 million for 2014. Approximately $3.1 million of the expected 2014 expense related to SARs grant will be recognized in the first two quarters of that year. We believe these rights provide for alignment of interest with our shareholders with long-term incentive to higher common share price. Each of these items remains subject to adjustments. Finally, I’d like to take this opportunity to let you know that we have confirmed the event 2013 Analyst and Investor Luncheon will be held in New York on Thursday, June 6. Invitations for this event will be sent out shortly and we hope that you’ll be able to attend. I’ll now turn the call back over to Gerry.
Gerry Wang: Thanks, Sai. Please turn to slide seven of the webcast presentation. I will briefly discuss the industries’ fundamental. Generally speaking, there has not been a mature trends in market fundamentals since the fourth quarter and we continue to expect overall cargo demand growth and overall ship supply growth to be fairly balanced out over the next three years or so, obviously the finance can vary from trade land to ship land from time to time. On the supply side, we expect tonnage growth of about 5% to 10% this year, major operators continue to make supplies through widespread slow-steaming and incremental idling of ships. The order book remains at a manageable level of less than 20% of effective loading capacity or about 7% per annum on average. This will be further reduced by demolitions, potential order consolidations, and conversions. On the demand side, we expect global containership volume to grow by around 5% to 7% in 2013 as Gerry’s forecast. The fixed rate environment remains volatile from (inaudible). The charter rate for short-term charters, particularly for the smaller vessel classes remain week even though we see some signs of charter rate improvement for our 4250 TEU class vessels. Major operators continued to experience challenging market conditions in the first quarter of 2013. However, they remain focused on returning to profitability. We understand they are placing a high priority of fleet modernization to address their need for larger, modern, fuel efficient ships that will drive economies of scale and significantly lower their operating costs, at the same time, given the generally money losing appreciation over last two, three years, the retained earnings are not as strong as they would like to have for all renewed ships themselves. The two factors that bode well with Seaspan’s sense of growth opportunities; Seaspan’s competitiveness is defined by combination of our financial strength plus depth of technical and operational know-how in building and operating large modern containerships. Please turn to slide right. That slide depicts the staggered maturity profile of our charter portfolio by design Our contracted revenue is generally protected from the charter market (cyclicality) over long-term. As a matter of fact, this is one of the key factors for ensuring the long-term stability and sustainability of our cash flows. The average remaining charter length of our fleet is approximately six years and we expect to have a total of six units of 14,000 TEU Class Vessels up for recharter in 2013 and 2014, which represent a maximum of 3.6% of our contracted revenue. Further six units of 4250 TEU vessels will continue to follow the strategy of short-term charters until the market cycle eventually plays out. Please turn to Slide 9, where I will reiterate vision for the future. We’re the largest independent containerships supply in the world. Our reputation in designing, owning and operating the modern and large flagships for several leading liner majors reinforces our competitive advantages we have versus our competitors. We believe Seaspan is well positioned to continue to both enhance its leadership position and create shareholder value over the long-term. We’ll continue to pursue fleet growth with a controlled and balanced approach being patient and disciplined, and using our financial strength and technical operational leadership position in our industry to pursue opportunities that meet our strict criteria. Our core focus will remain on designing, owning, and chartering large modern fuel efficient containerships to creditworthy customers. As a ship leasing franchise, it is critical to consistently maintain a strong balance sheet, diversify our capital structure and enhancing our financial strength including maintaining conservative leverage has been our core differentiator for Seaspan and will remain one of our top priorities. We have a history of returning capital to shareholders and we will remain committed to sustainably increasing our common share dividends over the long-term as we continue to optimistically grow our business. We would now like to open the call for the questions. Operator, please.
Operator: Thank you ladies and gentlemen. (Operator Instructions) Our first question is from Ken Hoexter, Bank of America/Merrill Lynch. Your line is open.
Ken Hoexter – Bank of America/Merrill Lynch: Great, good morning. Gerry, lot of moves going on lately in expanding the fleet, so congrats on returning to the expansion phase, but are you seeing the carries themselves kind of, like the MOL dealer, are you seeing more sale-leaseback deals in the market as the carriers focus more on constraining their cash?
Gerry Wang:
Ken Hoexter – Bank of America/Merrill Lynch: Okay. Now as you start looking into 2014-2015, when you start thinking about the change of flows that might occur with the extension of the Panama Canal, does that affect the vessels that you are looking at or the way the carriers are looking at trade flows this early or is it too early for that yet?
Gerry Wang: No it’s – our design of 10000 TEU has taken into account the wider Panama Canal – our 10000 TEU can go through Pacific all the way trough U.S. Gulf, through U.S. East Coast and then the East Coast of South America. So the canal situation has been taken into account and all the operators really are planning for that and you will see more prominence of 10000 TEUs versus the old 5000, 6000 TEU because of Panama Canal. But those are one of the reasons why we decided to go with 10,000 TEUs versus the smaller ones, because those vessels are pretty much the maximum size that can go through the Panama Canal and I’ll see certainly positive impact on the activities in the (inaudible) volumes through the East Coast part of North America and South America, that's what we see and that view is being widely shared with the line of majors.
Ken Hoexter – Bank of America/Merrill Lynch: I guess if I can just wrap up with just a clarification from Sai, on the – did I catch you right that you said for all of the vessels ordered you at least have term sheets and you're just ready to finalize those last transactions in terms of firming up financing for all the vessels that you – that we’ve on order?
Sai W. Chu : Yes, we expect to get financing completely through all the ones on our – in the next several months.
Ken Hoexter – Bank of America/Merrill Lynch: Months? Okay, so does that constrain your ability to expand in the near-term, in other words, do you want to finalize that before expanding or is that not a gating factor?
Gerry Wang: No, it’s not a factor. I mean we have more than adequate limits on funding (inaudible) and for future growth as well.
Ken Hoexter – Bank of America/Merrill Lynch: Okay. I appreciate that, in fact. Thanks for your time.
Gerry Wang: All right. Thank you.
Operator: Thank you. Our next question is from Gregory Lewis of Credit Suisse. Your line is open.
Gregory Lewis – Credit Suisse: Thank you, and good morning.
Gerry Wang: Good morning.
Gregory Lewis – Credit Suisse: Gerry, can you provide a little bit of update on from the shipyards what you’re seeing? What types of opportunities there are maybe where pricing is going? I think that would be helpful.
Gerry Wang: Thank you. Shipyard prices have really reached almost the Bakken. I don’t anticipate any big drop in ship prices as far as containerships are concerned. At the same time, I don’t see any jump onto it where ship price is going up. So we would see that kind of appreciation for probably a couple of years going forward. And as far as we are concerned, we are just deal with the shipyards that have the financial strength and the technical know-how, willing to work with us. And we are trying to take advantage of the situation right now.
Gregory Lewis – Credit Suisse: Okay, great. And then as we think about what your customers are saying in terms of the overall market. As we move into the peak season, we’re seeing an appetite for sort of that idle piece of the fleet whether that’s 4% or 5% of the idle fleet. Do we think it’s reasonable that as sort of we’re winding down the third quarter. We would expect a lot of those vessels to be back in the overall market, which should potentially be support of a pricing, or do we think we’re kind of in this transition in 2013? How are you kind of thinking about the market?
Gerry Wang:
Gregory Lewis – Credit Suisse: Okay, great. So as we think about the MLO boats that are coming off charter in the middle of during the summer. Have you received any indications on whether those options are going to be expended?
Gerry Wang: We don’t have any – we have only four vessels that are currently employed on short-term charters, so we don’t have any new delivery vessels before the end of the year from long-term charters. Obviously, we have a couple of short-term charter vessels they’ve come back and forth. So we focus on – continue with those four vessels this year and we expect to have another two next year. So the 46 4250 TEU vessels are the only short-term candidates for us to focus on and we just stands with the market and we are very reluctant to fix long-term. We got inquires for one year, two year charters at lower rates, but we believe the market is always cyclical and if we can just play out the cycle then soon or later the market will recover anyway.
Gregory Lewis – Credit Suisse: Okay, perfect, Gerry. Thanks for that clarification and have a great day.
Gerry Wang : Thank you.
Operator: Thank you. (Operator Instructions) Our next question is from Justin Yagerman of Deutsche Bank. Your line is open.
Unidentified Analyst: Hi, good evening. It’s (inaudible) for Justin.
Gerry Wang: Hi, Jeff.
Unidentified Analyst: I just kind of wanted to start off with maybe something you’ve already touched upon, but just kind of the deal environment in general, I guess last quarter on the call you’ve seen incredibly bullish on growth prospects. And I guess maybe I missed this, but kind of getting the same tone, has anything changed or are you still expecting to see some strong growth this year?
Gerry Wang: Yeah, as far as our business is a concerned, we’re still seeing tremendous growth opportunities and obviously we have a couple of deals in the pipelines. As I said in the original presentation here, we’ll report them after the deals are fully closed. And at this point of time all we’re going to say is, we’re very busy. We’re working with lot of majors for those new opportunities and we’re very excited and Seaspan in Q as Sai mentioned, have the financial strength and that we can have pretty good accessibility to new financing, to take care of our growth opportunities. So we’re well positioned and you’d see some deals done this year. We’re very confident in that.
Unidentified Analyst: Great. And you touched upon the 18,000 TEU ships that is reported to be interested in sales to customer. Is this a deal that you might be able to look at or I guess what you think of those large ships as well, I mean, I guess that as well – I mean those would not be the biggest ships in your fleet if you were to do a transaction in that space?
Gerry Wang: I don’t obviously like to comment on the deal specifically as China Shipping Container Lines is extremely close client of ours, and we’re always discussing business opportunities, and I wouldn’t comment on this particular transaction specifically.
Unidentified Analyst: Can you maybe touch upon the actual size of vessels, is there anything – is that the space that you’re looking at?
Gerry Wang: Yeah, we would bring ships depending on, again the creditworthiness of the customer and, of course, the economics, and of course the bankability. So China – just tell you that – the great names we have and we’ve had over 10 year Russian ship with them. We just worked, try to perfect the marriage, and obviously we would support ships as much as we can. And we’re always in discussions with them for the growth requirements, and again, I don’t want to say anything more about the 18,000 TEUs in particular. But we’re always in that close dialog.
Unidentified Analyst: And then maybe just kind of more broadly, kind of longer term – looking out of the container space, there’s still some supplies that need to hit the waters, and some delivering ships – looks like they’re going to be outpacing demand. I guess, kind of longer term, how do you feel about your fleet, and maybe some of your smaller size ships and maybe if you could talk about that? I know they don’t start to redeliver till kind of 2015, but can you talk about maybe the longer term prospect of some of those smaller ships?
Gerry Wang: For those smaller ships basically, I would just play with the market and eventually another market is always, and whereas the low point of the cycle, hopefully the midpoint, the highpoint where come to as, that sooner than later, but given relatively small percentage in terms of revenue out of our total contractor revenue, whatever happens we are fully prepared for that, with the fairly minimal impact on our balance sheet and our ability to do new business. If market comes back, rates are good, we will look at obviously disposal of the assets and fixed on a long time three four years along that to creat the stability and substantiality of the cash flow. So we’re open market, we just see how market plays out, then we’ll do from there.
Unidentified Analyst: Got it, I appreciate the time today, thanks guys.
Gerry Wang: Thank you.
Operator: Thank you. Our next question is from Michael Webber of Wells Fargo. Your line is open.
Michael Webber – Wells Fargo Securities: Hi, good morning guys. How are you?
Gerry Wang: Hi, Mike.
Michael Webber – Wells Fargo Securities: Hey, just a couple of quick questions, on the new debt that you guys just secure, entered into I guess for the two Yang Ming assets, can you may be give a broad sense of terms over there?
Gerry Wang: They are very capable terms, they are long-term generally in the market, there has been five to seven years deals that has to make sense a bit, margins are certainly very competitive and the good advance ratio, so without getting it specifics, it’s a system with the high quality of the customer and we also what the assets, so we’re pretty pleased with the financing that’s available to us.
Michael Webber – Wells Fargo Securities: Yes, would you say there, it’s more or less inline with $340 million secured in January
Kyle R. Washington: They are – it would be longer-term than what we did with that $340 million. And these are pretty good as well. So it’s a different type facility with brand new assets versus some of the older assets that we’ve had.
Michael Webber – Wells Fargo Securities: Right, right. Okay, now that’s helpful. Gerry, just to kind of piggyback on I think one of Josh’s earlier questions; you mentioned that the 18,000 TEU assets, that’s the – that I see as you all just, just in the case you were looking by and I know that you don’t want to talk about those. But maybe if you just think about kind of the new business in the market versus some of the more recent new build business you’ve done, where are returns for new business for large scale assets like that versus the cost curve of 13,000 that you guys have and vis-à-vis your assets. Are you guys actually able to capture any of those economic or is that all going in the charter?
Gerry Wang: No, we cash part of the economic. The returns are much better. It depends on which cost they are looking at. And the returns are much better also in the spends that we haven’t factored into the potential upside on ship value. And that’s the reason why we say that it’s a great time to invest because you get greater returns plus the potential upside on the ship value when the market comes back.
Kyle R. Washington: Yeah, I think the other thing to add is that they are very fair returns given the current environment, which is very different than liquidity fuel purchases that we’ve done previously and it’s just the shortage of capital. So it has a positive effect overall. So the fact that we have the assets for capital – we’re getting fair returns for our shareholders.
Michael Webber – Wells Fargo Securities: Got you. And Sai, where would you put your dry powder right now, I guess, you reduced your total liquidity?
Sai W. Chu: Well, we have – as mentioned cash on the balance sheet of about $350 million. We’re raising about $400 million or so for new debt financing. So it’s certainly a very healthy amount of liquidity. Having said that, I think that being a really specially financed company, and are [continuing both paths], we’re going to continue to raise more capital if it will make sense.
Michael Webber – Wells Fargo Securities: Got you. All right, just one more from me and I’ll turn it over, and kind of going back to the new projects, I guess, on the 18,000 TEU assets and I guess, the bigger portion we’re seeing from the major lines around Eco-type assets. I guess, if you take kind of a longer term view, Gerry, kind of 10 to 15 years, and you think about the new opportunities you have here, I guess, there are kind of two ways you can look at it, the new opportunities for you here to add more modern tonnage, but do those new opportunities start to destroy some of the residual value on your older assets? I mean, you’ve got 41 vessels between 3,000 TEU and 5,000 TEU, and those 13,000 TEU assets might not be competitive in the long run relative to some of the newer business. So I guess that market dynamic, how do you think about that because it can’t all be a positive, right?
Gerry Wang: Yeah, well, precisely, that’s what we need to do, that is we need to order more fuel efficient, low value vessels that, in a sense, dilute the potential impact of the older vessels, that’s what the dynamics should be played and that’s what differentiates us from others, because during good times, obviously everybody can do business, during bad time, when you have growth opportunities like what we have today, you’ve got to grow, otherwise, over long time, your fleet will not be healthy and as a long-term leasing company, you have to pick it upon your low time, keep modernizing fleet and move forward.
Michael Webber – Wells Fargo Securities: Got you, fair enough. Is anyone coming to you asking for smaller tonnage or basically everyday you’re looking at kind of 10,000 TEU and above?
Gerry Wang: Yeah. We’ve been approached. We’re looking at them – those things as well. At the end of the day, the product is placed by the line of measures on the big one for the time being. And I expect some cascade impact, ones the big ones are taken care of. I’m pretty sure that we’ll look at the medium size and the smaller size as well.
Unidentified Analyst: Okay, all right. Thanks for the time, guys. I appreciate it.
Gerry Wang: Thank you.
Operator: I’m not showing any further questions in the queue. I’d like to turn the call back over to management for any further remarks.
Gerry Wang: This is Gerry Wang. Nice to talk to you, again thank you very much for your support and your interest in Seaspan, and we’re very excited about where we are today, and we’re looking forward to talking to you, see you again in the near future, and don’t forget that we have June 6, Investor’s Day in New York. Please come to the event, and I’m looking forward to speaking to you face-to-face. Thank you very much and hope I don’t talk to you – don’t speak to you before the start of the summer. You have a good one, and have a good time. Thank you, bye-bye.
Operator: Thank you, ladies and gentlemen. Thanks for participating in today’s conference. This concludes today’s program, you may all disconnect. Everyone, have a great day.